Operator: [Operator Instructions] Welcome to the Chesapeake Utilities Corporation's First Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Lucia Dempsey, Head of Investor Relations. 
Lucia Dempsey: Thank you, and good morning, everyone. My name is Lucia Dempsey, and I'm thrilled to have joined Chesapeake Utilities Corporation last month as the new Head of Investor Relations. I'm looking forward to meeting many of you at AGA next week or at other opportunities in the coming weeks and months. Today's presentation can be accessed on our website under the Investors page and Events & Presentation subsection. After our prepared remarks, we will open up the call for questions. With me today are Jeff Householder, Chair of the Board, President and Chief Executive Officer; Beth Cooper, Executive Vice President, Chief Financial Officer, Treasurer and Assistant Corporate Secretary; and Jim Moriarty, Executive Vice President, General Counsel, Corporate Secretary and Chief Policy and Risk Officer. On Slide 3, we show our typical disclaimers while I remind you that matters discussed in this conference call may include forward-looking statements that involve risks and uncertainties. Forward-looking statements and projections could differ materially from our actual results. The safe harbor for forward-looking statements section of our 2023 annual report on Form 10-K provides further information on the factors that could cause such statements to differ from our actual results. Additionally, the company evaluates its performance based on certain non-GAAP measures, including adjusted gross margin, adjusted net income and adjusted earnings per share, and the accompanying information includes the appropriate disclosures in accordance with the SEC's Regulation G. A reconciliation of these non-GAAP measures to the related GAAP measures has been provided in the appendix of this presentation, our earnings release and our first quarter Form 10-Q. Now, it is my distinct pleasure to turn the call over to Jeff. 
Jeffrey Householder: Thank you, Lucia. Good morning, and thanks to all of you for joining our call today. I'll begin with Slide 4. This quarter, our team once again executed on our long-standing strategic growth plan. Over the past several years, we've been focused on 3 fundamental drivers to support earnings growth. First, we work hard to identify and prudently deploy investment capital that meets the service demands created by a significant customer growth. Our geographic footprint is an advantage here. Our service territories continue to experience a customer growth rate that is more than double the industry average. Second, we proactively manage our regulatory agenda to support the approval and cost recovery of our capital projects. You'll hear us describe in a moment several projects currently in front of state and federal regulators with total investment well over $200 million. And the third and perhaps most important of our strategic growth drivers, is the continued business transformation of our company, which is focused on our people, processes, technology and organizational structure. Our continuous improvement initiatives enable us to manage an ever-expanding business. Turning to Slide 5. This morning, you will hear us touch on service delivery to customers and other operational accomplishments, the FCG acquisition integration process, capital project execution, regulatory advances and a number of efficiency improvements. I'm happy to report that 2 of the more significant concerns facing our company and our industry, weather and interest rates have been at least through the first quarter, far less impactful to earnings than what we experienced in 2023. While the 2024 winter was warmer than normal in our service areas, we've been able to manage through it. Customer consumption increased in the first quarter compared to Q1 of 2023. And as we all know, interest rates appear to have at least stabilized with no increase so far this year. Our regulated natural gas transmission and distribution businesses continue to grow. We will mention today several system expansions, which are in various stages of approval, permitting or construction. In our nonregulated businesses, we realized contributions from increased propane consumption as well as increased propane margin and service fees. This served to offset much of the warmer-than-normal weather impact. Our Florida City Gas integration plan is on track and on schedule. And importantly, our FCG business delivered incremental margin in line with our expectations. This quarter, we immediately recognized the positive impact from our integration efforts and didn't miss a beat with our accelerated capital investment plans across our larger footprint. We're now even more confident about our opportunities to propel future earnings growth in Florida, including through 4 projects and an expansion of the SAFE program, which are all currently filed for approval with the Florida Public Service Commission. Across our enterprise, we are steadily advancing the capital investment projects, regulatory filings and business transformation initiatives that will support future growth and optimize our operations within our larger footprint. We are particularly pleased to have just received approval from the Florida Public Service Commission on Tuesday for 3 new transmission expansion projects that support increased customer demand. We remain confident in our ability to achieve our 2024 adjusted EPS guidance of $5.33 to $5.45 and our longer-term outlook for 2025 and '28 as we continue to drive shareholder value by delivering on the attractive opportunities throughout our businesses. I will now turn to Slide 6, which covers results for the quarter. Adjusted earnings per share was $2.10 in the first quarter of this year. We also generated adjusted gross margin of $165 million, a $35 million increase over the first quarter of last year. FCG represented $25 million in adjusted gross margin in Q1. This was driven by an incremental contribution from the 2023 rate case as well as continued customer growth. Our legacy businesses contributed another $10 million of adjusted gross margin growth, driven by contributions from incremental transmission expansion projects and organic growth in our natural gas distribution businesses, contributions from our regulated infrastructure programs and Florida natural gas base rate proceeding, higher customer consumption, increases in Aspire Energy gathering fees and higher propane consumption margins per gallon and fees. Turning now to Slide 7. We remain intently focused on achieving synergies, optimizing operations across the enterprise and accelerating capital investment opportunities. We're taking a good look at our operations and processes, taking a best of both approach to things like customer care and project management. In places where our legacy business processes were stronger, we're bringing that strength to Florida City Gas and vice versa. Our work so far has been encouraging. There are a lot of commonalities to our approaches and cultures, and our teams have been really engaged to learn from each other. And while the integration work continues, we are now operating as one company, and our efforts to leverage our greater footprint, optimize efficiencies and invest in growth are being applied across the whole enterprise. Slide 8 shows the major projects and initiatives that are driving approximately $16 million of incremental adjusted gross margin growth. We have submitted 11 pipeline projects to the Florida Public Service Commission, representing approximately $152 million of capital investment. 7 of these have now been approved and 4 are under review with decisions expected this summer. This is a record number of project filings and approvals for us. It demonstrates our ability to accelerate investment as a combined business. It also speaks to the magnitude of future growth opportunities in Florida, one of the key reasons the FCG acquisition was important to our strategy. This quarter, we added 2 new Peninsula Pipeline company transmission projects to the table, Boynton Beach and New Smyrna Beach, representing a combined $5 million in adjusted gross margin for 2025. These extension projects will support FPU's distribution systems in the Boynton and New Smyrna Beach communities. Those expansions are driven by the needs for increased natural gas supply to coastal portions of the state that are experiencing significant population growth. On the infrastructure replacement side, we have a number of programs well underway, including the Guard, SAFE and Storm Protection programs in Florida and the capital surcharge program on the Eastern Shore. These programs support our ability to maintain safe and reliable service for our customers and will contribute to margin growth over the next 10 years. As new projects are developed and receive approval, they will be added to this table. As shown on Slide 9, we've hit the ground running in 2024 with our capital investments. We've ramped up spending considerably to take advantage of both the magnitude of the growth opportunities before us and the scale benefits that bolster our ability to execute. I'd like to emphasize that with $70 million of CapEx spent in the first quarter, we're wasting no time executing on the opportunities to drive growth in margin that provide the basis for our Florida City Gas acquisition and that are abundant throughout our larger organization. We're also delivering on business transformation projects that are bringing enterprise-wide efficiencies. Our investment projects are laying important groundwork for our long-term growth. We are bolstering the safety and reliability of our systems and investing in the pipelines and interconnects that are meeting customer demand while also creating and reinforcing our pathways to market. I'll now turn the call to Beth. 
Beth Cooper: Thanks, Jeff, and good morning, everyone. It is great to catch up with you today. We had another successful quarter with adjusted EPS of $2.10 per share, $0.06 higher than the first quarter of last year, driven by solid performance across all our businesses. As you can see on Slide 10, our recent acquisitions, largely Florida City Gas contributed $0.84 in adjusted EPS. Our Florida City Gas unit achieved solid customer growth and benefited from its 2023 rate case outcome. Our legacy businesses also generated strong earnings, delivering $0.26 of incremental EPS this year, and we had $0.06 of contribution from increased customer consumption due to colder weather. I want to point out that while temperatures were colder than last year, they were still about 10% to 12% warmer than the normal temperatures, calculated using a 10-year average in both our Delmarva and Ohio service territories. As always, we are prudently managing expenses, especially our payroll and travel and entertainment expenses and optimizing our operations, which drove an $0.08 benefit to adjusted EPS this quarter. These gains were balanced by a few factors: a $0.05 offset from depreciation, amortization and property tax, a $0.34 offset from acquisition-related expenses and an approximate $0.73 offset related to the Florida City Gas financing costs. Turning now to Slide 11. Adjusted gross margin increased by 27% to approximately $165 million. Operating income increased by $25 million or 45% to approximately $80 million. Excluding transaction and transition-related expenses, operating income increased by $26 million or 47%. We are proud of this strong gross margin improvement and most importantly, almost all of this improvement fell to net income. As a result, our adjusted net income improved by 29% to $47 million. This is a significant accomplishment and demonstrates the diligence of our team as we continue to optimize our operations, increase collaboration across our businesses and drive efficiencies. Moving to Slide 12. Our adjusted gross margin for our Regulated Energy segment improved by 36% over last year and operating income improved by 57%, excluding nonrecurring transaction and transition costs. This improvement was the result of Florida City Gas earnings contribution, organic growth in our natural gas distribution operations, including several minor propane community gas system conversions, pipeline expansions by our natural gas transmission entities, permanent rate changes associated with our Florida legacy, natural gas base rate proceeding and finally, incremental margins from our regulated infrastructure programs. I want to point out that we achieved 4.2% and 3.6% organic natural gas distribution growth on Delmarva and in Florida, respectively. As shown on Slide 13, our Unregulated Energy segment delivered an 8% adjusted gross margin improvement and a 24% operating income improvement. The biggest driver was higher propane consumption driven by the colder weather. We also saw higher propane margins and service fees, including from our recent JT. Lean Suns acquisition. Finally, we benefited from an increase in rates, gathering margins and consumption from Aspire Energy. Turning to Slide 14. Our team is driven by our commitment to safety, accountability and dependability. This collaborative culture enables our tireless pursuit of top quartile earnings performance, driven by prudent capital investment and regulatory initiatives. With our earnings growth, we are able to reinvest 50% to 55% of our earnings back into the business to support our capital investments while also generating top-tier dividend growth. Our financing and reinvestment strategy aligns to a target dividend payout of 45% to 50%, and we are committed to this range through 2028. Given the strength of our performance and our confidence in our capital investment strategy, we are reiterating our 2024 adjusted EPS guidance of $5.33 to $5.45, our 2025 guidance of $6.15 to $6.35 per share and our 2028 guidance of $7.75 to $8 per share. Our top financing priority is to maintain a strong balance sheet to support our growth plans, and we continue to execute on a financing plan consistent with an investment-grade ratings profile. In the first quarter of this year, stockholders' equity increased by $35 million as a result of our retained earnings. At the end of the first quarter of 2024, we had an equity to total capitalization ratio of over 48% versus 47% at the end of 2023. We continue to target an equity total capitalization ratio of 50% by 2028 at the latest. Customarily, we dribble out smaller amounts of equity over time to manage to our target capital structure. We will continue to do this as we carry out our 5-year capital plans. On Slide 16, we show our strong history of consistent dividend growth. We are proud to have a 10-year dividend CAGR of approximately 9% through year-end 2024. This quarter, we announced a significant 8.5% dividend increase of $0.05 per share to $0.64 per share per quarter. Our Board made this decision in line with our balanced capital allocation strategy to reflect the strength of our performance and our confidence in our future growth prospects, while also allowing for a high level of earnings reinvestment to fund future capital investments. This strategy continues to support top quartile earnings growth to facilitate top quartile dividend growth. Turning now to Slide 17. Our pathway to our 2024 EPS guidance is comprised of multiple important drivers: first, strong incremental contributions from our legacy businesses of approximately $0.40 to $0.50 per share. Second, a full year of Florida City Gas results, including the interest costs associated with financing the acquisition, representing about $0.35 to $0.45 per share; and third, incremental opportunities of approximately $0.20 to $0.30 per share from our integration, business transformation and cost management activities across the enterprise. The impact of these factors is partially offset by dilution of about $1 per share due to the equity issuance completed to finance the Florida City Gas acquisition. Moving to Slide 18. I want to provide a few highlights from our integration accomplishments as well as some detail on our incremental opportunities to drive earnings growth. This quarter, we were focused on seamlessly welcoming and orienting our new team members to our organization and culture, which is very much aligned with Florida City Gas. We conducted an employee engagement survey so that we have a solid baseline of sentiment upon which we can build and grow. We also completed our rebranding, which helps to solidify our One Team approach. We acted on additional margin opportunities with our service agreements, working to reduce our reliance on the transition service agreements with NextEra. We are in the process of leveraging the Florida City Gas after-hours call center for our whole enterprise, which will standardize and enhance the customer experience. We're also integrating our cybersecurity protocols in order to maintain our consistent secure risk profile. Importantly, we're also making steady progress on our infrastructure projects in Florida, which Jim will touch on shortly, and we're ramping up our capital spend. We are moving forward with new projects, including 3 projects that will connect locally produced landfill RNG to Florida City Gas system. Successfully executing on our business transformation projects such as our technology improvement initiative, remains a high priority. We're also continuing to manage our costs prudently across the business. In summary, our initiatives remain on track, and we are very excited about our progress and the opportunities ahead. Now, I'd like to turn the call over to Jim. 
James Moriarty: Thank you, Beth, and good morning, everyone. I'll begin with Slide 19, where we present our rate case initiatives and infrastructure programs. In Florida, we've been operating at our new effective rates for nearly a year in our Florida Public Utilities and Florida City Gas jurisdictions with allowed ROEs of 10.25% and between 8.5% and 10.5%, respectively. 2024 will be our first full year with these increased rates. As we discussed on our last call, we filed a joint application for a natural gas rate case with the Maryland PSC in January 2024. Our application seeks approval for tariff changes, including a new technology cost recovery rider, a proposed underserved area rate, which will enable expansions to meet demand as well as the program for evaluating extensions to multifamily projects. We also filed a separate depreciation study associated with our Maryland utilities. We are continuing to have a productive engagement with our regulators and are optimistic about our continued path to a constructive outcome. As Jeff mentioned, we are making significant headway with our infrastructure programs in flooring, which are designed to continually improve the safety and reliability of service. In April 2024, we filed a petition with the Florida PSC to more closely align the SAFE and Guard programs. Specifically, we requested modifications that will enable us to accelerate remediation on the pipes that need it the most as well as facilities that have obsolete or exposed pipe. We expect these modifications to add about $50 million in CapEx associated with the SAFE program. When combined with the GUARD program, this represents approximately $460 million of natural gas distribution infrastructure investments over the next 10 years. Turning to Slide 20, which shows numerous Florida transmission projects driven by customer growth. I'll take a moment to highlight a few recent updates. First, we have 7 approved projects, which total about $106 million in capital expenditures. In April 2024, the Florida PSC approved our Newberry expansion project, which secondarily included the acquisition and conversion of propane community gas systems in Newberry. This is expected to begin in the second quarter of this year. We have delivered service via the community gas system for many years, and the timing is now appropriate to convert those systems over and bring natural gas service to the area to support future expansion. We have successfully executed conversions like this many times in the past, and we are excited to bring both the transmission and distribution infrastructure to this area. For our Wildlight pipeline expansion project, where we have now received Phase I and Phase II approvals, growth continues at a record pace. We are now ready to construct Phase 2, which involves the installation of 2 new steel pipeline segments. In March of 2024, the Florida PSC approved 2 new Peninsula Pipeline East Coast transmission projects. There, we are constructing natural gas transmission extensions to support our distribution system growth in Boynton Beach and New Smyrna Beach, which Jeff talked about earlier. On Tuesday, we received approval for $42 million in additional expansion projects, which include extensions to support recent and expected population growth in the state Cloud, Plant City and Lake Mattie communities in Florida. And finally, we have 4 projects under PSC review, including the Pioneer Supply Header Pipeline project, which will enhance natural gas availability in Southeast Florida and our trio of RNG projects, representing $46 million of CapEx, which will connect 3 landfill RNG projects to our FCG distribution system. Moving now to Slide 21, which covers our Eastern Shore Worcester resiliency upgrade project, which will be an approximately $80 million liquefied natural gas storage project in Maryland. This initiative, which will provide critical energy service to customers during the peak winter heating season will help protect against weather-related disruptions, keeping energy prices affordable. This is especially important as we are dealing with an increasing number of extreme weather events across the country. On April 26, FERC issued a positive environmental assessment report for this project, a major milestone that our entire team can be proud of. We remain optimistic about our continued progress as we proceed to our anticipated in-service date in the third quarter of 2025. Turning now to Slide 22. I would like to cover some of our sustainability initiatives and other recent innovations and awards. In April, we were proud to publish our Safety and Reliability report, the first in our series of micro sustainability reports. In the coming months, we will release our second micro report covering our environmental stewardship efforts. We're also very proud to launch a first-of-its-kind, energy efficiency program in Delaware this year. The program includes 3 residential initiatives, which we anticipate will reduce consumption by the equivalent of 1,055 households annual energy usage. This innovative program builds on our long-standing energy efficiency and conservation efforts that go back to many decades. At Full Circle Dairy, we continue to progress towards completion of our first full-scale RNG production facility, and we expect our first injection of RNG produced there in the first half of 2024. This project is anticipated to capture and redirect more than 1,100 metric tons of methane per year, the equivalent of the emissions from powering 3,500 homes annually. I would also like to commend our employee resource groups, led by the green DRG for coordinating our recent Earth Day and Arbor Day activities. As an example, we partnered with the Arbor Day Foundation on an energy-saving trees program, where our team members could request a locally appropriate tree to plant on their property. The Arbor Day Foundation's resources then help them determine an optimal planting site for the greatest energy and money saving benefits. In January, we supported the Food Bank of Delaware with a $50,000 donation and donated as well a number of park benches made from recycled plastic pipe. We plan to donate similar benches to other nonprofit organizations, municipalities, parks and trails within our service areas. Later this month, we will celebrate receiving the Torch Award for Ethics from the Delaware Better Business Bureau. This distinction is given to companies that put integrity into action, and we are incredibly honored to receive this award. As you can see, our team is excelling in all areas of the business and beyond, making life better for our employees, customers and communities remains paramount in everything we do. With that, I will turn the call to Jeff for concluding remarks. 
Jeffrey Householder: Thank you. This year, we are off to a very strong start, marked by a steady execution of our Florida City Gas integration, strong investments in growth in technology advancements in our regulatory initiatives and prudent expense management. Our newly combined team in Florida is working collaboratively and efficiently with none of the integration speed bumps that can sometimes occur with acquisitions. We're excited about what we will accomplish together. We're well positioned to deliver on the significant and attractive opportunities across our enterprise and to continue our track record of driving top quartile earnings performance. The projects in our plan will enable us to continually improve the customer experience, reach new customers and explore new pathways to safe, reliable energy delivery. And, by leveraging our deep expertise and experience, we are executing our strategy in a way that is valuable to our team, our communities, our customers and our shareholders. We remain intently focused on sustaining our history of superior performance, and we look forward to sharing our progress. With that, we'll take your questions. Operator? 
Operator: [Operator Instructions] Our first question is coming from Tate Sullivan with Maxim Group. 
Tate Sullivan: First, to follow up on the comments on the liquefied natural gas storage facility in Maryland, is that not yet in your incremental gross margin table? This is my first question. 
Beth Cooper: That is correct, Tate. We're waiting for the final approval. And then at that point in time, we will include a gross margin estimate. But as we indicated in the update, as you heard, we're really pleased we're on schedule, most recently with the environmental assessment being issued. 
Tate Sullivan: And has site work started on that project? Or will construction start the plum upon the FERC order and its construction time line estimated based on a table about 9 months? It seems sort of fast. 
Beth Cooper: That's correct. We have already begun preparing for the site by having some of the work done related to the tank manufacturing. So, that is well underway. We've also basically contracted for the purchase of the land once we get the appropriate approval. So, that's why once the final approval for the project is received, we can work pretty quickly to get everything constructed and be ready to go next year. 
Tate Sullivan: And last for me is for Florida City Gas customer growth. Is it still expected to be similar to your natural gas operations that you had before a client sort of City Gas? 
Beth Cooper: It's a little bit more in metropolitan area. So, the growth relative to somewhere like in the Jacksonville area may not be quite as high, but still it's relatively good, strong customer growth that we continue to experience there as well. 
Operator: Our next question comes from Paul Fremont with Ladenburg. 
Paul Fremont: Congratulations on a great quarter. You talk about sort of margin improvement in propane and gathering, can you tell us where the margins are today and what they were previously? 
Beth Cooper: Sure. I mean, we don't typically disclose the actual margin level itself. But certainly, as you're coming through, Paul, the first quarter, there's a lot of volume that happens primarily in that first quarter. And some of the margin expansion that we saw was a result of weather still staying above normal. And so, we've provided a calculation where we talk about the weather impact to the tune of about $1.5 million or $0.05 per share in terms of what our results would have been if weather had been normal. I can tell you, in the propane business, we've had the benefit for the last several years, 5 years plus where in periods where we have experienced warmer-than-normal temperatures, the rate increases, the margin increases have been somewhat of a natural hedge. I can also tell you that as we've come out of the first quarter, margins have stayed a little higher than normal. But keep in mind, our volumes cut down significantly in the second and third quarters because you're not in those heating seasons. On the Aspire side, we've worked really hard in terms of our rate design. And so, you've seen us be able to adjust our rates to also compensate for some of the weather impact. And so that's what you're also seeing come through the numbers in the first quarter. 
Paul Fremont: And are you in a position yet to sort of indicate what type of cost savings you're expecting in Florida post acquisition? 
Beth Cooper: We are not at this point coming out with specific dollar amounts. I mean, you can see that if you look at our results for the quarter, and we've talked about in the past, our operating expenses, exclusive of depreciation, amortization and property taxes as a percentage of gross margin. And relative to what we looked like in 2023, there is certainly an improvement in that metric. And we're going to continue to fully integrate the business, make sure that we're accomplishing everything that we set out to do. I think if you looked at us, we've evaluated ourselves in the past relative to our peers. We've had a real focus on cost management, and that's going to continue. But the real story around Florida City Gas for us is not so much just cost management, but it's also the opportunity to capitalize on the growth opportunities and more so some various regulatory strategies that we think we can deploy there. And so, right out of the gate, and hopefully this came through in the slides, we were pretty happy to report, that we've got 7 projects that we've gotten approval for. Not all of those, we have margin estimates out for because 3 just got approved this week in Florida. We've got another 4 in the pipeline that you'll hear more about in the future, 3 of which are projects for Florida City Gas. One is an asset also a project that's associated with them. So, there's a lot going on, Paul. We've actually stepped up as we had anticipated, and you see that ramp. And so, that's really exciting to us and what we can do there and then again, the regulatory strategy. So, we're down a path on all of those. And again, if you look at that metric, I think that will give you some comfort that we are achieving synergies. We're just not coming out with a lot of specifics because, again, we're 1 quarter in. We're trying to accomplish a lot of different things on many fronts. But stay tuned. Hopefully, again, like you said, things continue as planned. It started to out great again for the first quarter. 
Paul Fremont: And then last question. You've given us sort of an equity to total capitalization target of sort of 45% to 50% sort of near term. What does that equate to potentially in terms of FFO to debt? And can you give us any insight into planned equity issuance over the course of your forecast period? 
Beth Cooper: Sure. So, let me start with the first part of it. So, our target equity to total capitalization is actually 50% to 60%. And we're actually at about 48% as of the end of the first quarter, slightly ahead of where we actually thought we might be in some of our projections. But over the next 5 years, you're going to see us move back to our target capital structure of 50% to 60% equity. What you also heard us talk about was the fact that we are reinvesting back into the business somewhere between 50% to 55% of our earnings. Right now, our dividend payout is in the upper 40s. And so, that enables us to put a strong amount of earnings back into the business and infused equity that's very competitively priced. And so, for the quarter, you actually saw suggest about $35 million into our equity from retained earnings. As we look out, certainly, we're looking at FFO to debt. We don't put a lot of metrics out on that. But as we did the transaction, we wanted to make sure we stayed at an investment-grade level. That was important to us. And so, you're going to see us be well into the teams on our FFO to debt, mid-teens to upper teens as we look at it. And then finally, from a financing, we will access the capital markets as needed. We have historically dribbled out equity over time. I think with the strong cash flow that's coming from our larger enterprise and looking at the cash flow, certainly, for the first quarter, you can see it. We will need some small equity infusions, but there's a lot of cash that's going to be able to be reinvested back into the business. You'll see us doing some debt refinancings at the appropriate time. But you won't see any heavy, heavy equity lift, certainly like you would have seen with the transaction or anything like that, small dribbling amount over time. And if I missed anything, please let me know, Paul. 
Paul Fremont: No. Just does that equity issuance include this year or not? 
Beth Cooper: We'll see as the year progresses, certainly, it could be some very small amounts, but nothing that would be deemed significant. 
Operator: [Operator Instructions] It appears we have no further questions at this time. I will now turn the program back over to Jeff Householder for closing remarks. 
Jeffrey Householder: Thank you again for joining today's call. We are very pleased with our first quarter performance, including the many capital projects that we've initiated. We look forward to seeing many of you at the AGA Financial Forum that's coming up. Goodbye. 
Operator: Thank you. This concludes Chesapeake Utilities Corporation's First Quarter 2024 Earnings Conference Call. Please disconnect your line at this time, and have a wonderful day.